Operator: Ladies and gentlemen, thank you for holding, and welcome to Rockwell Automation's Quarterly Conference Call. I need to remind everyone that today's conference call is being recorded. Later on the call, we will open up the lines for questions. [Operator Instructions]. At this time, I would like to turn the call over to Aijana Zellner, Head of Investor Relations and Market Strategy. Ms. Zellner, please go ahead.
Aijana Zellner: Thank you, Abby. Good morning, and thank you for joining us for Rockwell Automation's fourth quarter and full year fiscal 2023 earnings release conference call. With me today is Blake Moret, our Chairman and CEO; and Nick Gangestad, our CFO. Our results were released earlier this morning, and the press release and charts have been posted to our Web site. Both the press release and charts include and our call today will reference non-GAAP measures. Both the press release and charts include reconciliations of these non-GAAP measures. A webcast of this call will be available on our Web site for replay for the next 30 days. For your convenience, a transcript of our prepared remarks will also be available on our Web site at the conclusion of today's call. Before we get started, I need to remind you that our comments will include statements related to the expected future results of our company and are, therefore, forward-looking statements. Our actual results may differ materially from our projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all our SEC filings. So with that, I'll hand it over to Blake.
Blake Moret: Thanks, Aijana, and good morning, everyone. Thank you for joining us today. Let's turn to our fourth quarter results on Slide 3. We delivered strong double digit growth this quarter, with both sales and adjusted earnings growing by over 20% year-over-year. Our solid execution and improving supply chain helped us exceed our Q4 expectations, resulting in double digit sales growth across all regions and business segments.  With lead times significantly improving across our product lines, we were able to deliver products to customers faster than expected this quarter, contributing to over $2.5 billion in total sales. This record shipment reflects Rockwell's continued capacity investments, and demonstrates our organization's ability to scale for sustained growth.  Total sales were up 20.5% versus prior year. Organic sales grew almost 18% year-over-year. Currency translation and acquisitions each contributed about a 1.5 of growth in the quarter. Consistent with prior quarters, the split of our sales by business segment, region and industry was largely driven by the composition of our backlog.  In our intelligent devices business segment, organic sales increased 18% versus prior year with strong growth across all regions. Within this segment, Independent Cart Technology had another strong quarter, finishing this fiscal year with over 50% growth in sales. This offering continues to be an integral part of our advanced material handling and production logistics offering.  We are excited about our latest addition to this differentiated portfolio with our acquisition of Clearpath Robotics, and I will cover some strategic highlights of this deal later on the call. Software and control organic sales grew 23% year-over-year.  We continue to innovate in both the software and hardware portions of our architecture, with significant new offerings such as high availability, process IO, FactoryTalk optics, and FactoryTalk data mosaics. We are pleased with how our organic and inorganic investments in this business are delivering new customer value and continued share gains.  Lifecycle Services organic sales were up over 10% year-over-year. Book to bill in this segment was 0.97 and above the historical average for Q4. Within this segment, our Sensia joint venture had a strong finish to the year with over 50% year-over-year order growth in the quarter. This growth was driven by strategic wins in process automation and artificial lift control systems, positioning this business for continued double digit growth and improved profitability in fiscal year '24.  Information Solutions and Connected Services sales grew 10% versus prior year. One of the largest Information Solutions wins ever was with Prometeon Tyre, a global leader in tyre manufacturing headquartered in Italy. This customer was already using our cloud native Plex quality management system, and has recently selected our on-prem MES software to digitize the manufacturing processes at a number of their global sites. This win not only demonstrates the standalone differentiation of our modular offerings, but also highlights the value from the integration of our entire portfolio, making it easier for customers to standardize their global operations.  Within Connected Services, we continue to grow our cybersecurity practice with Q4 sales growing 30% year-over-year. Our industrial cybersecurity software and expertise along with differentiated partnerships on the IT security front are helping us grow our cybersecurity services into a business of well over $100 million this fiscal year, with a significant portion of this being recurring revenue. Total annual recurring revenue grew 16% year-over-year. That's a good number, and ARR is a meaningful contributor to our future growth framework.  Segment margin of 22.3% was in line with our expectations. Adjusted EPS of $3.64, which is a company record for quarterly earnings, grew almost 20% year-over-year. Significantly improving lead times in our Q4 shipment over performance contributed to rapid backlog production in the quarter. We are ending the year with over $4.1 billion in backlog, over 40% coverage of annual sales, which is still well above pre-pandemic levels. A return to superior customer service remains our highest priority.  Let's now turn to Slide 4 to review key highlights of our Q4 end market performance. Our discrete sales grew over 15% versus prior year. Within discrete, automotive sales were up 30% year-over-year, reflecting continued strength of our offerings in both electric vehicle and battery. Our EV business was close to 40% of our total automotive revenue in the quarter, growing double digits both year-over-year and sequentially.  One of our strategic battery wins was with Nanotech Energy, a startup with new and innovative energy storage technologies. Nanotech has chosen Rockwell as their exclusive automation partner to build new battery Gigafactories. Semiconductor sales grew high single digits. We continue to take share in facilities management control system applications and major semiconductor companies across the globe.  In addition to our existing portfolio, we continue to win and build down a strong funnel of advanced wafer transport solutions, leveraging our Independent Cart Technology across customers' greenfield and brownfield projects. We're also participating in the rapid build down of data centers to support cloud computing and artificial intelligence.  Our control systems are used to control and optimize the environment and safety systems in these facilities. And our recent CUBIC acquisition extends our reach into the power distribution portion of data centers. We've seeing some strategic wins in Asia and in the U.S. in the quarter with more to come.  In our e-commerce and warehouse automation vertical, sales declined mid-single digits versus prior year. After several quarters of customer delays and cancellations in the e-commerce portion of this vertical, we're starting to see new investments, especially in North America, positioning us for low single digit year-over-year growth in fiscal year '24.  Turning to our hybrid industries, strong sales in this segment were paced by good growth in food and beverage, our largest customer vertical. Food and beverage sales grew low double digits versus prior year. In addition to continued cybersecurity and infrastructure modernization wins in this vertical, we had several wins in Q4 incorporating generative AI functionality, where our digital services business is helping our CPG customers use real-time AI assistance as they develop new products, formulations and recipes.  Life Sciences sales grew mid single digits in the quarter. This vertical is a great example of how we are delivering expanded customer value through a combination of software, hardware and digital services capabilities. This quarter, our PlantPAx system was selected by [indiscernible], a global biotechnology company developing innovative and affordable cancer medicines for their process control and environmental monitoring solutions at a greenfield site in New Jersey. Tire was up high teens in the quarter with multiple wins across the globe, including the large software deal at Prometeon Tyre I mentioned earlier on the call. Moving to process. Sales in this industry segment grew over 25% year-over-year, led by strong growth in oil and gas, mining and metals. Oil and gas sales were up over 30% in the quarter. This growth was driven by a combination of digital oilfield solutions, including process safety and lift control in EMEA and Asia, as well as several new carbon capture wins in North America. We continue to grow our process industry footprint with the combination of Sensia and Rockwell oil and gas capabilities.  We had a notable win this quarter at Multitex Filtration Engineers, an India headquartered global EPC company working on onshore and offshore projects. This was a competitive DCS win for Rockwell, with one of the largest government-owned oil and gas explorer and producers in India. And we are excited to partner with Multitex as they increase their footprint in the U.S. and Middle East. Turning now to Slide 5 and our Q4 organic regional sales. Once again our sales by region in Q4 and for the full year fiscal year '23 reflect the composition of our backlog rather than the underlying customer demand. Our full year orders in the Americas outperformed the rest of the world. North America organic sales were up over 12% year-over-year, but Latin America and EMEA sales grew over 20% in the quarter and Asia Pacific was up over 31%. While we saw strong sales growth in China in fiscal year '23, we continue to see high order deferrals and cancellations in China. Let's move to Slide 6, key highlights of fiscal year 2023. We had a record year of sales and earnings with our total sales exceeding $9 billion. We achieved this milestone ahead of the timeframe we anticipated when we introduced our framework for accelerated profitable growth at Investor Day in 2019. Both reported and organic sales grew 17% this year, well above our original expectations.  Information Solutions and Connected Services were up 9% year-over-year, reaching over $870 million, demonstrating our customers' accelerated adoption of new digital offerings. This is almost 3x what this figure was in 2018. Total ARR grew 16% with strong growth in both our software-as-a-service and recurring services offerings. Our strong operating performance resulted in 140 basis points of segment margin expansion versus prior year. Adjusted EPS of $12.12 was up 28%. We generated a record $1.2 billion of free cash flow this year. The much better free cash flow conversion in the quarter was primarily driven by improved working capital. This represents 86% free cash flow conversion for the year, and Nick will provide more detail in his remarks. And last but not least, we continue to invest in key areas of growth. In the last few months, we made two acquisitions, Clearpath and Verve, to further expand our value and accelerate top line growth.  While we'll talk more about those investments at our upcoming Investor Day, let's turn to Slide 7 and take a few minutes to share why we are excited about the impact Clearpath will have on both our near and longer term growth. As we've shared with you earlier in the quarter, Clearpath is a leader in autonomous mobile robots, or AMRs, serving customers across many industry segments.  Their differentiated portfolio of auto brand AMRs is focused on the production logistics space, where customers traditionally have relied on manual labor to move raw materials and subassemblies to the right place on production lines, and also to move finished goods to shipping docks and warehouses. These workflows have been identified by many automotive companies, semiconductor fabs, and consumer packaged goods suppliers as their top opportunity for efficiency and increased safety.  Given the workforce shortage and skills gap, along with the overall move to more autonomous operations, the market for industrial mobile robots in factory floor applications is expected to grow over 30% for the next five years, and we believe no one is better positioned to capitalize on this growth than Rockwell and Clearpath. Together, we are the only end-to-end provider of autonomous operations in this space.  We'll bring together our FactoryTalk design capabilities to configure and simulate the production environment, including these AMRs, integrate with our cloud native operations management software, like Plex and Fiix, and optimize the production process with our logics and embedded AI capabilities, all with one technology platform.  This is an important milestone for Rockwell, and you will see more of what this can do for industrial operations at Automation Fair and Investor Day next week. We closed this acquisition in early October and expect it to contribute about a point of growth to our top line performance in fiscal year '24.  As we move to Slide 8, let's review our fiscal 2024 outlook. Consistent with what we shared with you on our last earnings call, our orders continued to decrease in fiscal 2023 reaching what we believe to be a trough in our fourth quarter. Orders for the full year were $8.2 billion. We expect fiscal year '24 orders to increase low single digits year-over-year. Order growth is expected to be highest in the Americas. Asia orders are expected to be down year-over-year due to China. However, a relatively low exposure to China helps to reduce the impact on our global results.  The lead times on our products have largely returned to pre-pandemic levels, with the remainder of our SKUs getting back to normal lead times around the end of our fiscal Q1. This addresses the final golden screw constraints to shipping past due backlog and clearing committed inventory at our distributors. Based on our analysis of lead time reduction by product line, distributor inventory and underlying demand at our largest machine builders and end users, we expect orders to begin to recover in Q1 and build in Q2.  Customers continue to move forward with plans for both greenfield and brownfield capacity investments and also with resilience projects requiring increased cybersecurity and digitization. In the U.S., we've been adding commercial resources specifically focused on projects that are incented by recent stimulus authorized by legislation, including infrastructure, IRA and the CHIPS and Science Act. This team won new business during the second half of fiscal year '23 with the strong funnel of additional projects expected to close in fiscal year '24.  Our fiscal '24 guidance assumes total reported sales of about $9.4 billion at the midpoint. Organic sales are projected to grow 1% at the midpoint. Currency is expected to increase sales by 1.5% and acquisitions are slated to contribute about a point of growth. We are projecting ARR to have another year of double digit growth. Segment margin is expected to increase slightly versus prior year. Nick will cover this in more detail later.  Adjusted EPS is slated to grow 5% year-over-year at the midpoint. At a high level, we expect strong conversion on slightly higher year-over-year organic sales. Good performance in reducing backlog during Q4 of fiscal '23 put forward about $100 million of revenue and $0.25 of earnings. Clearpath is expected to reduce fiscal year '24 adjusted earnings by a similar amount.  Let me turn it over to Nick to provide more detail on our Q4 performance and financial outlook for fiscal '24. Nick?
Nick Gangestad: Thank you, Blake, and good morning, everyone. I'll start on Slide 9, fourth quarter key financial information. Fourth quarter reported sales were up 20.5% over last year. Q4 organic sales were up 17.7% and acquisitions contributed 140 basis points to growth. Currency translation increased sales by 140 basis points. About 6 points of our organic growth came from price.  Segment operating margin was 22.3% compared to 23.3% a year ago. The year-over-year decrease reflects the impact of higher sales volume and higher price being more than offset by higher incentive compensation, investment spend and restructuring actions.  Adjusted EPS of $3.64 was above our expectations, primarily due to higher organic sales, partially offset by higher investment spend and incentive compensation. We also took a restructuring charge in the quarter of just over $20 million, which is expected to yield more than $40 million of benefits on an annualized basis. All-in, adjusted EPS grew 20% versus prior year. I'll cover our year-over-year adjusted EPS bridge on a later slide.  The adjusted effective tax rate for the fourth quarter was 17%, slightly below the prior year rate. Free cash flow of $776 million was $417 million higher than prior year. Our strong free cash flow generation in the quarter was driven by higher income and reductions in working capital. As you know, due to supply chain volatility, we have seen working capital balances grow over the last couple of years. And we are pleased to see our action starting to bring working capital down.  One additional item not shown on the slide, we repurchased approximately 200,000 shares in the quarter at a cost of $55 million. On September 30, $900 million remained available under our repurchase authorization.  Slide 10 provides the sales and margin performance overview of our three operating segments. Blake discussed our top line performance in the quarter, so I'll focus on our margin performance. Given our pay-for-performance culture and strong results, all of our business segments saw higher bonus expense this year. In Q4, this represented between 200 and 300 basis points of year-over-year margin headwinds for each of the segments.  Intelligent devices margin decreased by 100 basis points year-over-year, and was up 450 basis points sequentially, because of higher volume. Within intelligent devices, we are investing in our next generation portfolio of drives in IO. Software and control margin of 33.5% decreased 100 basis points year-over-year.  Our strong Q4 margin was driven by 25% year-over-year top line growth. This is the segment with the highest share of incremental investment as we continue to invest in next generation logics performance and our cloud native software portfolio.  Lifecycle Services margin was 8.4% and was under the 10% exit rate we anticipated. In addition to a higher bonus, this segment was the most impacted by the restructuring charges taken in the quarter. Absent those two items, the margin for this segment came in as we planned.  Before moving to the adjusted EPS walk, I'd like to talk about our Sensia joint venture. Challenged by the pandemic and global supply chain constraints, this joint venture underperformed our initial expectations for 2020 through 2023. Our updated outlook, which includes this lower base, resulted in a partial goodwill impairment in the fourth quarter.  Sensia's one-time items and supply chain-related inefficiencies in recent quarters are largely behind us. Sensia delivered double digit top line growth in fiscal '23 and has strong orders growth, as Blake mentioned. Going forward, we expect profitable double digit growth from Sensia.  The next slide, 11, provides the adjusted EPS walk from Q4 fiscal '22 to Q4 fiscal '23. Core performance was up $1.05 on a 17.7% organic sales increase. Incentive compensation was a $0.45 headwind. This year-over-year increase reflects the higher bonus payout this year versus a below target payout last year.  The year-over-year impact from currency was a $0.05 headwind offset by a $0.10 tailwind from interest expense. Share count and tax rate were each immaterial to the year-over-year change in EPS this quarter.  Slide 12 provides key financial information for the full fiscal year 2023. Reported sales grew 17% to $9.1 billion, including over one point coming from acquisitions. Currency negatively impacted sales by approximately $100 million or 1.4 points. Organic sales were up 17%.  Full year segment margin of 21.3% increased 140 basis points over last year. The increase was due to higher sales, partially offset by higher investment spend and higher incentive compensation. We accelerated growth investments for fiscal '23 above our original expectations as our revenue outperformed. Adjusted EPS was up 28%. A detailed year-over-year adjusted EPS walk can be found in the appendix for your reference.  As discussed earlier, free cash flow conversion was ahead of our expectations with free cash flow conversion of 86% in fiscal '23. Free cash flow increased $532 million since fiscal '22. The increase in free cash flow was driven by higher pre-tax income. Working Capital peaked in Q3 at 24% of sales and came down to 20% in Q4.  Return on invested capital was 20.9% for fiscal '23 and 570 basis points better than the prior year, primarily driven by higher net income. For the year, we deployed about $850 million of capital towards dividends and share repurchases and made inorganic investments of $170 million. We also paid down debt by about $870 million. Our capital structure and liquidity remains strong. This strength is what allowed us to fund our acquisitions in the first quarter of fiscal year '24 without any new long-term debt.  Before we turn to our fiscal '24 guidance, we want to update you on Q4 orders and our current thinking as we look forward. In Q4, orders decreased quicker than we expected as machine builders and distributors continued to work through inventory in response to our rapidly improving lead times. As Blake said, we believe Q4 was the trough and orders in October support that view. We expect fiscal year '24 orders to grow low single digits with an order profile similar to what we discussed in Q3. Let's now move on to the next slide, 13, guidance for fiscal '24. In fiscal year '24, we are focusing on growing earnings, even in a year of low top line growth. At the same time, we'll continue to invest in our own resilience, in our most important innovation projects to extend our differentiation and in customer-facing resources to capitalize on continuing strong secular demand for automation.  We expect our reported sales growth to range from 0.5% to 6.5%. We expect organic sales growth in the range of negative 2% to positive 4%. We expect acquisitions to add 100 basis points to growth, in addition to a full year currency tailwind of 150 basis points. From a segment perspective, given our exceptionally strong backlog execution in software and control that resulted in 25% top line growth in fiscal year '23, we expect this segment to see the lowest growth in fiscal year '24. We expect positive organic sales growth in both our Intelligent Devices and Lifecycle Services segments.  We expect price will be a positive contributor to growth for the year. Segment margin will be around 21.5%, up slightly from fiscal year '23. This includes a 60 basis point headwind coming from the acquisitions of Clearpath and Verve. Verve's impact to adjusted EPS is relatively flat in fiscal year '24.  Clearpath will reduce earnings per share in fiscal year '24 by $0.25 on an unlevered basis. This impact reflects continued R&D and commercialization investments as well as integration expenses. We expect the Clearpath acquisition to become accretive to earnings in fiscal year '26. We expect the full year adjusted effective tax rate to be around 17%. Our adjusted EPS guidance range is $12.00 to $13.50.  We expect full year fiscal '24 free cash flow conversion of about 100% of adjusted income. This reflects our expectation that inventory days on hand will drop to 125 days by the end of fiscal year '24 compared to approximately 140 days of inventory we had at the end of fiscal year '23. Our outlook for cash tax payments is higher due to a tax payment for realized capital gains on the sale of our stake in PTC and higher tax payments required under the Tax Cuts and Jobs Act. We expect free cash flow conversion in the first half to be well below 100%, mostly tied to the timing of our incentive compensation payout and income tax payments.  From a calendarization perspective, we expect year-over-year organic sales to grow in the low single digits in Q1, followed by sequential growth in sales volume as we progress through the year. As a result of our strong Q4 backlog performance, volumes will be down from Q4 to Q1. Given this dynamic, Q1 is projected to be our lowest margin quarter with sequential improvement throughout the year.  For the full year, let's turn to Slide 14 for our adjusted EPS walk. Our core is expected to have a modest positive impact on earnings of about $0.05 from fiscal year '23 to fiscal year '24. Structural productivity from our Q4 actions is expected to increase earnings by $0.25, while increased growth investments will reduce earnings by $0.55.  Incentive compensation for fiscal year '23 was above target due to strong performance. So this represents a tailwind of $0.85 for fiscal '24. Acquisitions will be dilutive by $0.25. Our 150 basis points of sales growth from currency will add $0.25, and the net of interest tax and shares will contribute about $0.05.  A few additional comments on fiscal '24 guidance. Corporate and other expense is expected to be around $120 million. Net interest expense for fiscal '24 is expected to be about $115 million. We're assuming average diluted shares outstanding of 115.3 million shares. We expect to deploy between $300 million and $500 million to share repurchases during the year.  With that, I'll turn it back over to Blake for some closing remarks before we start Q&A.
Blake Moret: Thanks, Nick. As I reflect on 2023, it's clear our continued investments in talent and technology are paying off. I'm proud of how our tight knit organization has navigated through a dynamic environment and helped us deliver a record year of sales and earnings exceeding expectations. Looking at the year ahead of us, we are aware of the macroeconomic backdrop and the geopolitical situation that continues to change every day. You heard us talk today about focusing and optimizing our workforce productivity so that we can continue investing in key areas of growth.  Our customers rely on our continued innovation and differentiation to provide energy and critical infrastructure security across the globe to help bring new life saving drugs to market and to use leading technology to augment and enable their workforce.  We look forward to seeing a lot of you at our Investor Day in Boston next week, where we will be sharing our long-term business strategy and some of the most exciting developments across our key markets and applications.  Aijana will now begin the Q&A session.
Aijana Zellner: We would like to get to as many of you as possible, so please limit yourself to one question and a quick follow up. Abby, let's take our first question.
Operator: Thank you. [Operator Instructions]. And we will take our first question from Scott Davis with Melius Research. Your line is open.
Scott Davis: Hi. Good morning, guys, and Aijana.
Blake Moret: Good morning, Scott.
Nick Gangestad: Good morning, Scott.
Scott Davis: A lot here, and I'm glad you're doing the Investor Day, because I think there's a lot to dig in here. But until we get there, can you give us a little bit more color on the China comments just around delays and cancellations? It's not a shock, given what we're reading, but maybe a little bit more granularity on what you're seeing there?
Blake Moret: Sure. So just for context, China's about 6% of our worldwide sales, so big manufacturing economy but relatively low exposure for Rockwell there. And we saw very strong sales in China for the year. But in China, the orders were lower. And that is the source of the cancellations that we did see. While our worldwide cancellations are roughly in line with what we've been seeing, China is the highest component of that. And I would say it's broad based. It's not one particular industry. We still see wins and investments in areas like EV, but the distributors that most of our products go to market through in China still have relatively high inventories and they're working that off.
Scott Davis: Okay, that's helpful. And you mentioned that the goodwill impairment on Sensia, but it looks like the next few years, the outlook there is pretty darn good. How do you kind of pair that up? And I would imagine you don't take it too lightly when you take a goodwill impairment. So I'll just stop there.
Blake Moret: Sure, Scott. So we launched the entity with at the time Schlumberger a few months before the pandemic, so that was in 2019. And the lower base that resulted from COVID shutdowns and the subsequent supply chain shortages along with a refinement of some of the original mix assumptions caused us to take the impairment. We've changed out the management team at Sensia. And we've seen the last couple of quarters of encouraging improvement. We have great orders, good backlog, and improving profitability. And so we expect over the next few years that Sensia will actually be quite a large contributor to the improved profitability in Lifecycle Services.
Scott Davis: Yes, I would assume that too. Okay, I'll pass it on. Thank you. I appreciate it. Good luck. I'll see you next week.
Blake Moret: Thanks, Scott.
Operator: And we'll take our next question from Andy Kaplowitz with Citi. Your line is open.
Andy Kaplowitz: Good morning, everyone.
Blake Moret: Hi, Andy.
Nick Gangestad: Hi, Andy.
Andy Kaplowitz: Blake, just focusing on your guidance of low single digit order growth in FY '24 on your confidence of a trough in orders in Q4 '23, could you give us more color in terms of what gives you that confidence? You mentioned orders in October are supporting your view. Maybe you could elaborate on what you're seeing. And then obviously, there have been many conversations regarding mega projects and where we are in that cycle. Do you see your orders being more lumpy centered around mega projects in FY '24 and what are the verticals that they're most likely to come from?
Blake Moret: Sure. Thanks, Andy. So first of all, in terms of the orders development, we saw orders ramp up throughout Q4. And then we saw October orders up sequentially from that, and supportive of our view that Q4 was the trough. We expect orders to continue recovering throughout Q1 and building in Q2. So that's the view in terms of the orders development. And that's based on what we're seeing what I just described, as well as direct discussions with our end users and machine builders that have the largest contribution to our business. So we went and did a detailed analysis of their CapEx expectations, their OpEx expectations, what projects that we have the opportunities with. And that coupled with our own personal views and with our distributor feedback are all supportive of this shape of the order recovery curve. In terms of the mega projects, I don't know that that's going to contribute so much to the lumpiness. I think it's going to be a positive, additional amount of business that builds throughout fiscal year '24 and beyond. The majority of the projects that we're tracking, and we're tracking literally hundreds of projects that are incented by some of the recent stimulus, the majority of those projects have not made a decision or have not released the automation equipment. So when you look at those projects, certain equipment, which would probably include switchgear, things like that, would be led earlier in the project cycle with automation to follow after that. So we think that we're still in the early innings with respect to those mega projects. And our tracking processes and our early wins are very encouraging.
Andy Kaplowitz: Very helpful, Blake. And Nick maybe just going over your margin expectation a little more for the segments in '24. You already answered Scott's question on Sensia. But what's your confidence level that we do you see a step up in '24 in Lifecycle Services? And then particularly in Intelligent Devices, obviously, that segment has had let's call it some perturbation, some supply chain, do you see more normal environment and improvements in '24 in that segment?
Nick Gangestad: Yes. In terms of expectations by segment for fiscal year '24, we do expect that Lifecycle Services will be the most significant year-on-year margin expander. And to answer your question, we are highly competent in that based on the actions that we have taken in '23 and based on the outlook we have for that business in '24. On the opposite side, software and control, we saw outstanding growth in fiscal year '23, as we had strong execution on our backlog. And we expect that business to be the one with the lowest organic growth and then that will translate into lower year-on-year margin in our software and control business, primarily driven by that lower growth. And it happens to also be the segment where we're putting the majority of our incremental investments. From an Intelligent Devices perspective, that's one where we expect the margins year-on-year to be flat to up slightly. And that is with the impact of Clearpath in there. Clearpath is for this segment alone about 100 basis point headwind. And that will be impacting throughout the year. But we'll definitely be seeing that impact in Q1 in Intelligent Devices. And the actions that we've been doing in Intelligent Devices around our productivity and our investments in products, that's what's leading us to expect margins to be flat to up slightly.
Andy Kaplowitz: I appreciate the color, guys.
Blake Moret: Thanks, Andy.
Operator: We will take our next question from Jeff Sprague with Vertical Research. Your line is open.
Jeff Sprague: Thank you. Good morning, all.
Blake Moret: Hi, Jeff.
Jeff Sprague: Good morning. I just want to come back to kind of orders and backlog. I'm just kind of confused by the comment that orders ramped during Q4, right? The ending backlog is 4.1 billion. You were guiding 4.5 billion to 5 billion. I know you pulled forward 100 million in sales, right? But maybe just bridge us on what happened other than that sales pull forward. How much of it was cancellations versus just kind of regular way order normalization, if there's a way to do that?
Blake Moret: Sure. Let me make a couple of comments, Jeff. And then Nick may have some to add as well. So we saw orders increasing. If you look at beginning of the quarter of Q4 to the end, we saw orders exit at a higher rate than at the beginning of Q4, and then with a good uptick from that sequentially in October. So that was the ramp we were talking about, and why we believe that Q4 was the trough for orders.
Nick Gangestad: Yes. And, Jeff, just to go a little deeper in that, what we're seeing -- one of the dynamics we're seeing in Q4 and we expect to continue through Q1 as well is our channel partners, our distributors working to right size their inventory as we are seeing -- as they are seeing good reductions in our lead times. They're doing the right actions of bringing their inventory levels down. And that's resulting in lower orders being placed on us. And we expect that to continue through Q1. And we think Q2, as we -- and as we discuss with all of our distributors, Q2 is where that will start to change where the inventory levels at our distributors will be reaching the normal level that they expect. So partly I say that just to say, we don't really see this level of orders we're seeing now as normalized. We're seeing them the correct reaction to the actions they're taking to bring their inventory levels down.
Blake Moret: And if I can add to that. So our distributors are seeing a higher level of incoming orders than they in turn are placing on us due to their high inventory levels. So we have, as you would imagine, very good visibility into our distributors' incoming orders from their customers, from their end users and the machine builders. And that order activity is higher than what they're in turn placing on us. So that gives us additional confidence that orders will ramp up as their inventory situation comes down.
Jeff Sprague: And then maybe just on the guide. If I heard right, I think you said you're expecting positive organic growth in Q1. Obviously, you have a negative in your guide range. I would have thought if that negative were to happen, it would actually happen in Q1 with this order normalization. So maybe just kind of talk about your thought process of what gets you to the negative organic growth for the year versus being positive in Q1?
Blake Moret: Sure. So at the negative end, you would see a slower reduction of inventories at our distributors and a deterioration in the macro. At the upper end of the range, you would see distributors stabilizing their inventory at higher levels than they did before. So getting back to that equilibrium and placing orders that are more reflective of the underlying demand from users and integrators and machine builders. And you would also see at the high end some of the impact from the big projects being spurred by stimulus, specifically in the U.S. I should add as well that on the high end if we talk about total sales, some of the performance in terms of new acquisitions I think there's some opportunity there as well.
Nick Gangestad: And, Jeff, to follow up on the one question about why Q1, why we think that will be low single digit growth? Yes. If we were only looking at the orders, your question would -- that would make sense why not negative. However, we also continue to have a 4.1 billion backlog that we're entering the year with. And so what we're seeing in our Q1 revenue is a combination of continued sales of some of that backlog coupled with the lower orders we're expecting in Q1.
Blake Moret: Yes. And if I could just add one additional piece. We do expect shipments to ramp sequentially in terms of volume through the year. You get into a little bit of the math of comparables based on having such strong shipments at the tail end of the year that enters into the math of the year-over-year growth as well.
Jeff Sprague: Great. Thank you for the color.
Blake Moret: Thanks, Jeff.
Operator: And we will take our next question from Andrew Obin with Bank of America. Your line is open.
Andrew Obin: Yes. Good morning.
Blake Moret: Good morning.
Nick Gangestad: Good morning, Andrew.
Andrew Obin: Maybe just to unpack this minus 2% growth rate limit further, historically, there's been a strong connection between CapEx and your sort of view of the growth rate. I'm sure you'll tell us a lot more about it at the Analyst Day in your new framework. I fully appreciate it. But what kind of macro do we need to see for minus 2% to manifest itself? Does this imply push outs of EV batteries? Could you just describe the macro environment behind the minus 2% [indiscernible] forecast? Thank you.
Blake Moret: Yes. I think that would contemplate push outs that turn into cancellations quite frankly, whereas if a project is pushed by a couple of months, it's not going to have a big impact in the year. But if some of those projects or a larger amount of those projects rolled over into deferrals or cancellations, if people said [indiscernible] just kidding about EV, we don't need to build out the semiconductor industry process, which is 35% of our business, if people aren't looking to increase energy, both hydrocarbon and renewable energy forms in the U.S. If we saw a significant reduction of those projects, I think that would contribute to that minus -- that downside part of the range.
Andrew Obin: Got you. And just to follow up, ARR of 16%, which is pretty decent for an industrial software company, nice exit rate. So what kind of software growth is embedded? What kind of ARR assumptions are in your '24 forecast? Thank you.
Blake Moret: Yes, we're looking at 15% ARR. And we're very proud of that ARR number, because it's broad based. It's not just the newer acquisitions like Plex and Fiix, but it's our traditional offerings as well, some of the on-prem software. And as we go through the year, based on overall Rockwell, we do expect ARR to increase to above 9% of our total sales in the year. It's a combination, both of the software as well as the high value recurring services. We made some organizational changes to supercharge that area. And that along with some of the new developments and offerings that we have, make us very optimistic about the contribution that ARR is going to have to our overall growth. And obviously, we like the resiliency that it gives our results by not starting each year at zero with respect to software sales.
Andrew Obin: Thanks so much.
Blake Moret: Thanks, Andrew.
Operator: We will take our next question from Julian Mitchell with Barclays. Your line is open.
Julian Mitchell: Thanks very much. Maybe I just wanted to follow up first off on Nick your comments on the first quarter. So is the right assumption sort of low single digit organic growth in Q1, as you said? And then margins for the year are guided flattish for the total company. Are we assuming kind of Q1 is similar to that year-on-year just given the acquisition headwinds and so forth? So you have sort of sales up and little bit margins flat and then earnings up a little bit year-on-year then.
Nick Gangestad: Julian, thanks for asking that question. Q1 organic growth year-on-year we think will be low single digits. On the margin question, Q1 of last year, we had a margin of 20%. We expect that to be lower year-on-year in fiscal year '24. And there's three things that are going to be mainly contributing to it being lower. One is our Clearpath acquisition and the impact that will have. The second is mix that we see a less favorable mix in the first quarter of the products that we will be selling. And we think we'll be having lower utilization in our factories as we're adjusting our production to these lower orders. And we think those three things in combination are going to be resulting in lower margin year-on-year.
Julian Mitchell: That's very helpful. Thank you. And then I just wanted to come back to the revenue outlook. So one question maybe, we look at North America. I think the guide implies maybe sales are up mid single digits there or something this year. And in '23, North America was the lowest growth region globally. And so we're sort of seven years on from U.S.-China tariffs, two years on from the IIJA. Is it just the pace of these onshore and stimulus projects is so much slower than perhaps people often hope or assume? And just wanted to check that for the year, are you assuming -- it looks like the book to bill will be about 0.9x. Is that correct and what's embedded in the orders and sales color? Thank you.
Blake Moret: Let me start with the Americas discussion and then Nick can follow up with a little bit on the book to bill. So the Americas actually outpaced the rest of the world with respect to orders. And we expect that to continue in fiscal year '24. We've talked about for a few quarters now based on shipping from backlog, in some case fairly aged backlog, that our distribution of growth by region and by industry segment is more a factor of the backlog than the current underlying demand. And you're correct that we do expect the highest growth region to be the Americas going forward. With respect to the impact of stimulus, we're still in the early innings there. The business that we're winning there is really just ramping up. We saw some good development in the second half of last year. But by far, there's more business to come based on the projects that we're tracking.
Nick Gangestad: And, Julian, the question on the book to bill, yes, your math is right. Approximately 90% book to bill for the full year below that in the first half of the year and above that in the second half of the year.
Julian Mitchell: Great. Thank you.
Blake Moret: Thanks, Julian.
Operator: And we will take our next question from Nigel Coe with Wolfe Research. Your line is open.
Nigel Coe: Thanks. Good morning, everyone.
Blake Moret: Hi, Nigel.
Nigel Coe: So we got about thousands questions on backlog, so why not have one more? So the 0.9x book to bill for the full year seems to suggest that we're going to be down sort of the low $3 billion for the year -- by the end of '24. I'm wondering, do we go below that level first half once distributors' kind of stop cutting inventories and then rebuild? Just wondering where you see the backlog stabilizing?
Nick Gangestad: Yes, we see the backlog stabilizing, I think I said this on the last quarter earnings call as well, that at 30% to 35% of annualized revenue is what we think is the normalized backlog level we will be at given the mix of our businesses that we have.
Blake Moret: So that would indicate an exit of the fiscal year at above $3 billion.
Nick Gangestad: Correct.
Nigel Coe: Okay. And that is consistent with what you've said as well. And then just on sort of the -- and Nick, we're talking about $1.4 billion of orders in the fourth quarter fiscal, if you can just kind of verify that, that'd be helpful. And then on the FY '24 bridge, a couple of things. FX, you're assuming 1.5 points of a tailwind. The math we're getting is probably more like a minus one for the full year. So just wondering where are we wrong there? And then on the Lifecycle Services margin expansion, I think it makes sense if based on history, but just wondering what drove improving margins there in '24?
Nick Gangestad: Yes, I'll try to do those in reverse order. In terms of the things drawing down the margin in the fourth quarter, the two main things were our restructuring actions that had an outsized impact on the Lifecycle Services as well as the increased bonus expense that we were facing. Now as we flipped into '24, the bonus expense will be a tailwind to all businesses and Lifecycle Services margin will benefit from that. But also from the actions that we took in 2023, we think those will also be a propellant of Lifecycle Services margin expansion into '24. On the currency side, given our mix of businesses and what we're projecting, many of the currencies were just using what the current spot rate is going forward. In some currencies, such as the euro, what we will use is a group of banks and what they're expecting for a particular currency in the coming year. And so roughly 1.5% year-on-year benefit is coming from our expectations for currencies in fiscal year '24. And then in terms of the orders, we haven't been giving it by quarter. We did say orders were 8.2 billion for the full year. At the midpoint of the year, we had said they were 4.8 billion. And therefore, we're at 3.4 billion in the second half of the year. The third quarter was above that average, the average of 1.7 was above that. Fourth quarter was slightly below that level. So we saw from Q3 to Q4, it goes down further. But we haven't been giving it by quarter what our orders are.
Nigel Coe: Okay. Thanks, Nick, helpful.
Operator: We will take our next question from Steve Tusa with JPMorgan. Your line is open.
Steve Tusa: Hi. Good morning.
Blake Moret: Good morning.
Nick Gangestad: Hi, Steve.
Steve Tusa: Just on the bridge, can you just maybe -- the incentive comp is a big tailwind, it make sense. It was a headwind this year. Can you just maybe help us with how that breaks out in the first and second quarter here? What type of tailwind you expect there?
Nick Gangestad: Yes. First, for the full year, I'll just actually say actual numbers. Our total bonus expense in fiscal year '23 is approximately $240 million. And in our plans for fiscal year '24, it's dropping to $120 million. And that expectation of $120 million, that's spread exactly equally across the four quarters of '24. In '23, that $240 million was -- I can give you the actual numbers of how that broke out, Steve, if that helps.
Steve Tusa: Yes.
Nick Gangestad: 50 million in Q1, 58 million in Q2, 56 million in Q3 and 80 million in Q4.
Steve Tusa: Wow, great detail. Thanks for that. On the orders, how much of the headwind were actual cancellations? I'm not sure I caught that earlier. What the actual cancellation number was?
Blake Moret: Yes, the cancellations were in a similar range to what we've been talking about, which is to say they were not the major contributor to the orders, a decrease. The main contributor by far to the orders decrease is the high inventory levels at the distributors. So cancellations were a relatively small piece of it. At this point, clearing those final golden screw or fourth wheel constrained components to be able to allow distributors to shift, complete bills and material is also a smaller component of the overall contributor to the orders down in Q4.
Steve Tusa: Okay. One last one just on the bridge, the $0.25 of acquisition headwind is pretty big for the Clearpath business, given it's a relatively small revenue number. That's all kind of incremental investments you are making, or that's how much money the business is losing or what's driving that? So to heed, the $0.25 is a pretty big number.
Blake Moret: Yes, Steve. First of all, as Nick said, we expect the Clearpath contribution to be accretive in fiscal year '26. This is an important strategic move for Rockwell, and one that I think will be apparent as we talk about it and demonstrate it next week. The dilution in fiscal year '24 is based on a combination of them ramping their capability. So think of it as somewhat of a startup mode, but also as making sure that we surround it with the right resources to fully integrate it as quickly as possible into Rockwell to be able to provide that value for customers. So that's not only the technical resources, but it's the commercial resources, it's the infrastructure to help them drive cost out of their operations and drive unit cost out of those AMRs. And so it is some additional investment from Rockwell's part to make sure that we integrate this really thoroughly, because this is a major milestone for us.
Steve Tusa: Great. Thanks for the color, guys. Really appreciate the details.
Aijana Zellner: Abby, we will take one more question.
Operator: Thank you. Our final question will come from Noah Kaye with Oppenheimer. Your line is open.
Noah Kaye: Okay. Thanks for all the details in the guide. Just one housekeeping item. What is the price rollover contribution for 2024, or what is the total contribution of price to organic growth for '24? And then what are you assuming for cost inflation?
Nick Gangestad: Yes. We are assuming that price growth will be slightly over 1% year-over-year. And in terms of input costs, we're expecting that to be very neutral year-over-year, causing the net price cost to be a little over 100 basis points accreted to margin.
Noah Kaye: Perfect. Thanks, Nick.
Operator: And ladies and gentlemen, that concludes our question-and-answer session today. I will now turn the call back to Ms. Aijana Zellner for closing remarks.
Aijana Zellner: Thank you everyone for joining us today. That concludes our call.
Operator: Ladies and gentlemen, at this time, you may disconnect. Thank you for your participation.